Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the ATN International Q3 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference Mr. Justin Benincasa, Chief Financial Officer. Sir, please begin.
Justin Benincasa: Thank you, operator. Good morning, everyone and thank you for joining us on our call to review our third quarter 2017 results. With me here is Michael Prior, ATN’s President and Chief Executive Officer. And as usual during the call, I’ll be covering the relevant financial information and Michael will be providing an update on the business and outlook. Before I turn the call over to Michael for his comments, I’d like to point out that this call and our press release contain forward-looking statements concerning our current expectations, objectives and underlying assumptions regarding our future operating results and are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information to investors, our comments today include non-GAAP financial measures. For details of these measures and reconciliations to comparable GAAP measures and for further information regarding the factors that may affect our future operating results, please refer to our earnings release on our website at atni.com or to the 8-K filing provided to the SEC. And with that, I would like to turn the call over to Michael for his comments.
Michael Prior: All right. Thanks Justin, good morning all. Well, it’s hard to start this discussion of our third quarter results first talking about the hurricane, the two hurricanes that hit the Virgin Islands in September, but let me try to at least summarize some of the other things first. So outside of those events we had solid results for the quarter and some developments and decisions that we believe bode well for the future including a shift in our approach to capital allocation between dividends and stock buybacks and some signs of progress in India. Prior to the hurricanes, our International Telecom segment was turning in solid results with modest organic growth when you exclude some smaller business as we saw disconnected improving margins and steady progress on integration and business turnaround. As to the hurricanes I’ll have more to say in a minute, but despite the devastating impact to the people and very substantial damage to our network into the island infrastructure in general. We are optimistic for the longer-term prospects for both the community and our investments and we are committed to put that belief to work as we invest in and help guide the rebuilding process. U.S. Telecom was slightly better than we expected despite the year-on-year decline due to reasons covered in prior quarters. We have been busy restructuring this business to better position it for the future. In renewable energy we turned in results in-line with the first half of the year, but as mentioned we've made some progress in securing the regulatory approvals necessary to bring our completed solar power plants in India into the revenue generation stage. Outside the existing segment, we also made some smaller scale investments and a disposition and we were able to buy back about $10 million of the company's common stock in the quarter. So with that summary I will turn now to some more specific starting with International Telecom. And as I noted and I think we noted in the release that pre-hurricane revenues and EBITDA for the segment were in-line with our expectations, but our expectation certainly did not include Irma and Maria. These hurricanes were unusually bad in every respect. First they each were among the most powerful storms recorded for the region. Second Irma hit the northern islands of St. Thomas and St. John especially severely well Maria came a bit to the south causing catastrophic destructions in St. Croix. Third coming one after the other meant that the damage was far worse. And fourth, also terrible damage to Puerto Rico also disabled the airport and seaports of San Juan that were so critical in the initial stages of recovery from Irma. So as a result almost all of our wireline customers in the territory as well as much of the network serving them suffered damages and most remain offline. On the wireless side, we were preparing to launch a new wireless offering as a part of a brand new LTE network utilizing the spectrum and other resources of the business combination we closed on last year. We are still assessing the damage and working on repair plans and strategies as well as working with regulators to ensure the rebuild is intelligent and efficient so that we can bring the maximum number of customers back to pre-storm service levels as soon as possible and to quickly regain ground on the service improvements and expansions Viya was undertaking. Viya management and staff are also coordinating with the local power authority to cooperatively plan strategies for faster recovery. A restored and well-functioning electrical grid is critical to bringing our customers back on line and returning things to normal. And this aspect is also harder for us to predict. The net, net of all that is that we believe it will take six months to a year for the wireline network to get back to normal function and revenue and the impacts on household and the economy may mean the fully operational levels are lower than pre-storm. On the wireless side it will come back much faster due to a lesser reliance on the grid, no need for drops to the premises as we call them. And the work we have been able to do over the last month. This was a small part of our revenue pre-storm for the market, but we expect to grow it. Last and apologies here for the length of all this, I want to express our appreciation here at ATN for a number of things. First, our employees in the Virgin Island all came through the storm safe and sound despite the damage to their household. Second, the Viya leadership team and the staff have done tremendous good work caring for their colleagues, the community, and the business. They have indeed been leaders in the recovery and they were ably supported by personnel at ATN level affiliated employees and indeed even friends of the company. Third, we have been hardened by the dedication and practical can do attitude of many in governments from some of the famous personnel to the FCC to members of Congress and their staff to Commissioners on the local public service commission. We are very thankful and encouraged. So outside the hurricanes for this segment, there were no major positive or negative movements in operating cash flows or were none as reductions in certain expense areas were offset by higher marketing expense overall. Wireless subscribers were flat year-on-year and down slightly on a consecutive quarter basis at approximately 3002000 to end the period. ARPU was up slightly, wireless ARPU but unfortunately blended churn was as well rising to 2.9% from 2.5% a year earlier. Data subscribers totaled about 102,000 at the end of the period up more than 9% over the same quarter last year. This is nice growth and reflects the first apple-to-apple comparison for this segment adjusted for the sales of some of our small operations. All of these submarkets within this segment experienced year-on-year growth in this category. On the other side video subscribers totaled about 47,000 for the end of the quarter, a decline of 4.9% over the past year mainly due to cord cutting. The quarter saw continued progress on our capital improvement plans that we've covered previously. However, we did experience some delays and as a result some of the spending in activity may extend farther in the 2018 than planned even outside the hurricane related repairs in the Virgin islands. In U.S. Telecom the third quarter was relatively a quiet one for this business as far as revenue developments. We saw small increases over expectations for revenues and operating margins but otherwise we still see the declines next quarter and for 2018 that we detailed last quarter and we have no update on that front. The question is really what are we doing to improve the business and adjust to those changing conditions. And the answer so far is that we have begun to restructure the business from an expense side including restructuring and reducing the workforce in the third quarter and reviewing and reducing planned capital expenditures that no longer have a solid business rationale. But I don’t want to give you the impression that’s all defensive, we still like our shared infrastructure value proposition and we also believe that we can generate additional value at our deployed network. The U.S. Telecom team is working hard on this re-positioning though it will likely be some quarters before we will see if those efforts pay off. In short stay tuned. In the renewable energy segment this quarter was similar to the first two quarters. U.S. solar revenues were down on a year-over-year basis because of expiring state solar subsidy payments in California and EBITDA was also negatively impacted by the India operational expenses without material offsetting revenue. In India the good news is that we now have roughly 39 MW of plant operational and generating power to the grid all with customers under contract. We have received the final regulatory approvals necessary to begin billing for close to one-third of that amount or little less than that and are not so patiently awaiting approvals for the remaining 28 MW. Despite the regulatory and other delays we are continuing with the completion of our phase 1 bills, which should increase the total by more than a third by the first quarter of 2018. This is behind our original goal, but is a sign of progress nonetheless and I think we have a lot of hard-earned experience now in operating in this segment of the Indian energy market which we still think is very attractive place today. We continue to make progress as well on placing debt on these projects and we have more to say once the deal is executed and funded. Another area is investors will notice that our board cut the quarterly dividend in half last month. This is after more than 20 consecutive years of annual increases. At the same time in the third quarter alone we spent roughly the same amount as the implied annual reduction in the dividend to buy back shares of the company's common stock. These decisions and activities are consistent with the purposeful shift in our approach to capital allocation. While dividends can be a good instrument for delivering value to shareholders and some of our shareholders do favor dividends. We believe that there are potentially more efficient in better ways to create value for shareholders with the company's cash reserves and cash flow given our current mix of businesses, opportunities and market positioning. A related shift is a greater willingness to make minority investments where the opportunity and the co-inventors align with our strategy. Whether we will be in control or others will, the fundamental question is whether we think the position has well-positioned the business – sorry is well-positioned to execute on the plan. In the case of our recent investment in Australia we think we can add value without being in control given our experience in the shared infrastructure segment of the communications market and on the flip-side we are confident in the management team and impressed with the experience and accomplishments of the local co-investors. So in summary, International Telecom was proceeding more or less as expected until the hurricanes hit us hard in one of our major markets. We feel good about our odds of recovering and the loss is short-term value over the longer-term by continuing to strengthen our brands and operational efficiencies in that market, but that short-term impact in revenues and cash flow is certainly immaterial. U.S. Telecom is re-positioning and restructuring in the face of legacy revenue declines and this is a work in progress. India is showing signs of moving forward despite a complex and challenging operating environment, but we still have much to accomplish to ensure we receive good value for our investments. On the capital investments and allocation front, we made some important changes to our approach to dividends and buybacks as we just discussed and some smaller investments we feel good about. So that's all from me. And now to you, Justin.
Justin Benincasa: Great, thank you Michael. So the quarter total consolidated revenues were $122.1 million down from $138.8 million in the prior year and this is due primarily to the three factors, the anticipated decline in our domestic wholesale revenues, the sale of our domestic wireline business earlier this year and the hurricane affect on our U.S. VI operations in September. Adjusted EBITDA was $37.7 million and that represents a 31% margin. Included in our results for the quarter were 700,000 of other expenses which is the net impact of FX losses in India and Guyana and 600,000 gain related to the finalization of the sale of the U.S. wireline business sold earlier this year. I will cover the specifics around the financial impact of the hurricanes when I go through the numbers for the International Telecom segment. Starting with the U.S. Telecom segment revenues were $40.1 million down from $47.6 million in the prior year and adjusted EBITDA was $21.7 million down from $24.3 million in 2016. The revenue difference this quarter includes $5.3 million in wireline revenue going away from the sale of the Northeast wireline business I just mentioned that closed in the first quarter and $3.2 million reduction in domestic wholesale wireless revenues largely reflecting impact of lower contractual rates and revenue cap that we have discussed previously. The EBITDA impact year-over-year from the wireline business sale was negligible but we have been focusing on cost reductions on the wireless side of the business to help mitigate the EBITDA impact of the revenue declines and you can see some of that coming through this quarter. We continue to be free cash flow focused in this segment and will be judicious in our capital spending. In the International Telecom segment revenues were $77 million down from $85.3 million last year and adjusted EBITDA was $20.3 million down from $24.7 in the prior year. Approximately $2 million of the revenue difference was related to the businesses we sold in St. Maarten in the British Virgin Islands and as we noted in our press release, we processed $4.4 million of customer credits in September for hurricane related service outages in the U.S. Virgin Islands. There were some variable cost reductions offsetting the revenue credits but to sum it all is that even after adjusting for the damaged losses in the extra expense this has still led to an EBITDA loss of the Virgin Islands for September impacting our result for the quarter. As Michael noted we expect EBITDA losses from service outages to be most prominent in the fourth quarter with progressive improvement monthly in 2018 as commercial power have restored and we repair damages to our network. As we noted in our release we do have insurance coverage on a per name storm basis for property damage, extra expenses and business interruption up to a combined maximum of approximately $34 million in coverage. Unfortunately, we do expect total losses associated with these items to exceed our coverage limits, but the positive Op-Examination from the insurance proceeds will likely be a 2018 event. In the renewable energy segment, revenues were slightly ahead of second quarter as India is starting to generate revenue with the regulatory approvals Michael spoke about. Year-over-year total revenue for this segment decreased 15% to $5 million from the same period last year and adjusted EBITDA was down $1.4 million to $2.6 million year-on-year. Much of the year-on-year decrease is from the scheduled expiration of the state energy credits we have discussed in prior quarters. Increases in the operating expenses for this segment were cost associated with operations in India. For the consolidated company adjusting for the loss and damaged assets and other hurricane expenses operating income for the quarter was $17 million and net income was $11.9 million or $0.73 per share. Also included in operating income was $1.7 million of non-cash stock-based compensation expense for the quarter. The effective tax rate for the quarter looks unusual because it's impacted by the hurricane related charges that are basically not tax affected. Adjusting for those items the rate is similar to the prior quarters of approximate 21%. Looking at the balance sheet at September, we ended the period with cash and short-term investments of $250 million. For the nine months ended September cash from operations was $121.4 million compared to $92.8 million in the prior year and we ended the quarter with total debt outstanding of $159.7 million. As Michael noted earlier during the quarter we purchased more than 200,000 shares of our common stock for $10.6 million at an average price of $52.67 per share. We have also paid $16.59 million in common stock dividends to shareholder year-to-date. Capital expenditures for the quarter totaled $29.2 million of which approximately $6 million was incurred by the U.S. Telecom operations, $17.7 million by our International Telecom segment and $5.7 million in renewable energy. Year-to-date capital expenditures were $107.7 million of which $71.5 million was incurred by the telecom segment and $32.3 million was related to construction of solar projects. We do anticipate additional telecom capital spending above our guidance in $95 million to $110 million starting in the fourth quarter as we begin repairing network from the hurricane damage. Some of which will be offset by insurance proceeds that are affected in 2018 as I mentioned earlier. And with that operator, we would like to open the call up for questions.
Operator: [Operator Instruction] Our first question or comment comes from the line of Ric Prentiss from Raymond James. Your line is open.
Ric Prentiss: Hey, it's Ric Prentiss, hi guys.
Michael Prior: Hi good morning.
Ric Prentiss: First as a [Mediterranean] driven through many of hurricanes thoughts are with you guys this was as you pointed out a particularly powerful set of events that really layered on to each other. So good luck to your people, the spirit of service has been in telecom for many years and glad to see you carrying that forward.
Michael Prior: Appreciate that.
Ric Prentiss: Specifically to some of the numbers putting on the financial hat, can you help us unpack a little bit the hurricane charges that you put in the quarter or hurricane related charges the $36.6 million and it seems like if I'm really right the $4.4 million for September service credits might not be in that number but just help us understand what's in that number and as you kind of frame for us what the similar or what the line item would look like as we go into 4Q and next year?
Michael Prior: Yes. So the bigger number, the $36 million is mostly the write-off of the network damage. So we have kind of done a walkout of the network and taken a percentage of that and written off the historical book values. And then there is also, we had sold the BVI and we had an interest on that so we wrote that off as well as part of it. But there is just very piece going to and most of that is the network and then there is extra expenses which are really just one time we incurred on right out of the gate in terms of mitigating damage, trying to assess extra expenses. It does not include the $4.4 million of service credit those go through – those are just running through normal revenue and EBITDA.
Ric Prentiss: Sure, okay. And then as we think about the recovery –
Michael Prior: Go ahead.
Ric Prentiss: Yes, just how should we think about it, obviously there will be some portion it might be a large portion that you capitalized then just trying to think of the magnitude of what the spending might be and how it might split between an EBITDA amount versus a CapEx amount and I know you mentioned there might be more details in the queue, but just trying to get a sense of the magnitudes?
Michael Prior: Yes, we probably, the details in the queue it's more of an update of the numbers we’re just trying to make sure if we’ve any better information on the write-off of damaged plant we’ve updated in the queue. But basically, you’re right, the rebuilding of the plant will be a capital expenditure, any insurance proceeds that are received for either rebuilding the plant, extra expenses or business interruption will come back through the P&L when probable and determinable if you will. So that will not offset the CapEx, the CapEx could be spent as like a normal CapEx on the network build as service credits and through the P&L.
Michael Prior: And I think you mentioned it Justin, it’s worth making clear that we’ll be evaluating how the claim is made and in what portion because it covers revenue losses as well as damage to property.
Justin Benincasa: The business as well as the capital.
Ric Prentiss: And so as you think of the repair and replacement efforts is there a possibility to kind of jump ahead with technology, fiber, where are your thoughts as far as looking almost similar about – unfortunately clean [indiscernible].
Michael Prior: Yes, I think that you put your finger on it Ric, you’re better on the industry for a while that’s exactly right, you look at this, you’ve a somewhat attention between a desire and an obligation to get people back up and connected as quickly as possible and that is absolutely the number one priority. But at the same time you want to do it intelligently because you’re doing sections of this, some of this is new and we’re examining all sorts of things in that regard and some of them involve conversations with regulators as to what makes sense in the area. So an example of that would be, how do you push fiber deeper to the nodes, you’re not to going to replace copper with copper, you’re going to tend to replace lot of coax with fiber and but then it gets to the fundamentals about design and then even can go to reduce some of the drops in a fixed wireless way or the like. And really all those things are on their table and that’s one of those things where you take all the head upfront, but I think there will be some benefits if we execute right on that to end up with a more efficient network, better service levels for customers etcetera.
Ric Prentiss: And then just one final one from me on [MGLN], you mentioned the billing on the 11 megawatts has that started moving the quarter or when did that start and you mentioned that the depth project is progressive, when can we look forward to understanding a lot more about the revenue, the expenses, just kind of a whole way to model the MGLN business?
Justin Benincasa: The revenue expense for the quarter – but it’s sorry to say that I guess, it’s a little more complicated but if I just to say it’s for the quarter.
Michael Prior: There is some catch up, I mean the complication Ric is this, on catch up depending on when some of these come online, you may or may not get credit for some of the power already produced and so that’s the force in first quarter could be a little complicated with those items as opposed to a run level. But we haven’t beyond what we’ve done, but we haven’t tried to give guidance as to really where that revenue is going ultimately because a lot of it depends on how much further we build. At this stage it's not yet material and once we have kind of a sense of okay where it's going to end up and what we think the levels are going to be then it's going to be easier to talk to.
Ric Prentiss: So, if easier to talk to is that something that we are looking at in the next three months, in the next three quarters, just kind of help us understand that?
Michael Prior: Yes I think when we met investors late February typically next year we should have a lot better view to share in terms of where we see that going and what we see that delivering at least for investments made today.
Ric Prentiss: That will be great. I know the telecom really very long history, but I am not as up on the renewable energy in India, so I could use some help to understand what you guys are doing there? Appreciate it.
Michael Prior: Sure. Yes.
Operator: Thank you. Our next question or comment comes from the line of Allen Klee from Sidoti. Your line is open.
Allen Klee: Yes. Hi. Just following up on India, could you explain again how many megawatts you build for the quarter and how that compares to how much you have available right now to ultimately build?
Michael Prior: We have, as [indiscernible] better said we are recognizing revenue on a 11 megawatt and we have 28 that it is next to come if you will. But it's not – we told before I mean we are not going to publicize pricing but India build cost are significantly lower than U.S. build cost but the revenue related to given megawatt of DC is also lower because rates are lower.
Allen Klee: Okay. And then in terms of the spending required to rebuilding the networks that were hit by the hurricane, is it reasonable to look at kind of the write downs that you are taking as a proxy for what those type of cost plus expense are or would you recommend something else?
Michael Prior: I would probably, the write down is a depreciated plan if you will, so it's likely to be a little bit lower, but I would just say, it's all some of it kind of an estimate at this point as well.
Allen Klee: And then in your press release you put out a non-GAAP earnings number and you add back the hurricane related charges but it's taxed at – it looks like it's taxed at a very low rate. Can you explain maybe how that's – how you came up with the tax rate used in the non-GAAP part of it in the press release?
Michael Prior: It's really the -- there is a -- if you would take out the hurricane, the hurricane damage number is not tax affected as an expense so that you almost have to just take that out and then there is a small – there will be a small, I guess corresponding benefit but you really just – the best thing to do is just assume that the tax impact is – there is no tax impact on the GAAP numbers related to the hurricane damage number.
Allen Klee: So is it reasonable to think that if you had around one month of hurricane damages in 3Q the impact we see in 4Q is around three times?
Michael Prior: It's a little hard to say because there is some puts and takes in that but it's going to be substantially larger we expect the revenue shortfall but it's a little – there's some offset.
Allen Klee: And then the – your other International Telecom segments that were not affected by the hurricane, can you just comment on kind of what you saw happening there?
Michael Prior: I would say for the most part kind of steady state. There were some areas where our expenses were a little high and we still want to improve upon, but there were some movement in terms of data growth and some movement on – positive movements on the wireless side as well. So it was not, I wouldn't say it was remarkable quarter in any direction. In places like Bermuda there is still lot of work on the integration, post-acquisition stuff and some of the identified network upgrades that we saw when we made the investments. So we made some good progress on that. Some of it we like to go faster but overall relatively steady quarter.
Allen Klee: And then, the minority investment in Australian telecom related business, can you just give a little more color on what that business is?
Michael Prior: We don't – yes, I mean the investments, the stage it’s in, we don't really want to give a lot more detail, it’s not our detail to give but it's in the areas of shared infrastructure a lot of the things we both done and looked at in the U.S. in terms of -- so all the things you can think of like that whether it's in building work or towers and alike and the business is really examining opportunities in all that area. So it’s a easy thing to tell you this is not a retail business.
Allen Klee: Okay. Thank you.
Michael Prior: You bet.
Operator: Thank you. Our next question or comment comes from the line of Barry Sine from Drexel Hamilton. Your line is open.
Barry Sine: Yes good morning gentlemen. Hey first of all, on the Virgin Islands I am just trying to, I know that your information flow is pretty limited at this point. I am trying to just understand what you know at this point? Have you actually visited the Virgin Islands and what have you seen if you have gone down there?
Michael Prior: I have not because there is a rule right now that they want boots not suits I guess, but the other members joking aside, a number of other members including the members of the senior leadership team have been down there. It is actually very hard even finding housing for people of any sort to do it because of what hotel room capacity is there is being filled with federal workers and others. But there has been suffice just to say near constant communication and it is bad I mean it is – the islands were hit very, very hard, roads were damaged in addition to the poles and the cables on them and the power grid was substantially damaged and knocked out and so it's similar to what you hear in Puerto Rico. There is a lot more news coverage about that but it's not – it doesn't have the remote areas, so Puerto Rico is probably the biggest difference. So there is not communities, lots of communities kind of cut off and it's therefore a little bit easier by size on the reparations work and we gave our network staff, I mean, I don’t think our network some of the physical plant is better off than we might have expected and a lot of it we still think in terms of when wireline customers get back on, it’s going to be driven by the timing of the power grid being back. And that last thing I would add to that is the biggest, the kind of slowest damage to replace and the biggest and advancing most damaged on the wireline side on the actual drops to the houses. So if you think of it as route miles of the network that's really what we are talking about when we say roughly a third of it was damaged. Our core and most of our nodes came through well, we had people in all those places during the storm writing it out and making smart decisions to release back in and protect from water. But the community as a whole is a tougher thing and towards them they rely on a great deal and that's going to be a while before that comes back. It's not going to come back in any strong way this season. Hopefully, some will come back faster than others the crew-ships will start to return but it's going to be tough recovery.
Barry Sine: Just historically on the wireline portion of that business is that mainly residential or business, do you have any breakdown on because my sense is that business will come back after the houses that are destroyed.
Michael Prior: Yes, yes I think. Yes, I think that's right. And some of the priorities we've been making there is a number of critical things from schools to health clinics to government offices to some of the federal workers who are down there, we have had to prioritize and have had got a number of them up and connected. So that's faster and sort of necessary and then you also have residences, you have damaged houses, some houses are they going to be there, have been building, wiring to repair all of that.
Barry Sine: So the electric utility you are saying 90% power restoration by Christmas, is that going to mean you are going to be able to restore for most homes or most of the out of service due to principal structure damage not power. What do you know at this point?
Michael Prior: No, most of it, we don't know its precision because our walkout today and our assessments, the granular detail is much more focused on the core the backbone et cetera but I think that the power is the number one gaining item for residence and if you had to pick which is the biggest factor that is so, if the power is back up to that level by Christmas that will be very positive for us. And we will work accordingly in terms of restoring to those premises.
Barry Sine: Okay and my last version island’s question, St. [indiscernible] you're not providing wireless service, my understanding that AT&T is so how are they doing something differently, they do why do they just have more resources with generators and so on in the location?
Michael Prior: No, that's not true. We are, that’s old news. So, we are providing wireless and in fact we're helping support customers from another carrier with that a capacity on some legacy network. I think we're from, in some way that Rick alluded to the folks don't think competitively initially there are some mutual support but if you put your competitive head on, I think we're far away where we are in comparison to anyone there and we are looking to really within the next month to get that wireless network to at least 80% level. And if a question of, it’s a reads a real question of, the main question of wireless is again power right, so you can have sale side that erupt in there and you've got the generators but the generators occasionally will fail and then you have a sector, you have a whole number of sectors out while you're doing that and that's true for all the wireless carriers.
Barry Sine: And then shifting to India, similar to the other question, if you can give us a little bit of a tutorial on just a full regulatory process which sounds like and correct me if I am wrong that you have to get the power generation up and running generating power before you can apply for a license to actually recognize the revenue and then it sounds like there's a several month lag to get that license before you can recognize the revenue and start billing for it and then that that's taken longer than expected? Do I have that roughly right?
Michael Prior: You had it roughly right, is that what has happened. That's not quite the way it's supposed to work it should that that period between having and up and synchronize with the grid and what's called the open access approvals, it should be a lot shorter than it has been according to the rules on it whether it's a backlog or whatever in terms of bureaucratic delays that you have it pretty close on the reality.
Barry Sine: So, you have to wait until you are actually generating electricity before you can apply to actually start billing for it?
Michael Prior: Not quite, there is a coupled layers of the application. You apply beforehand, we wouldn't be building if we didn't, we work within the open access regime to begin with and had certain regulatory approvals ahead of time. If there is a really a kind of, I would be too strong talk situation a catch 22 how we are going to think about it you have to have the customer lined up who is buying the power to get that piece of power certified but you have to have certain level of approvals and synchronization where you can do that and there is certainly, there is probably some things that and I know there are some things that we learn that we can streamline a little bit but ultimately it all comes to the day where you have a piece of paper in an office that is just not getting processed quickly.
Barry Sine: Okay, that's helpful. Thank you very much [indiscernible] for taking all the questions.
Michael Prior: Sure.
Operator: Thank you. Our next question or comment comes from the line of Hamed Khorsand from BWS Financial. Your line is open.
Hamed Khorsand: Hi. good morning. So first off I want to ask you just given the hurricane damage you have to do the rebuild. Will there be any upgrade that you were planning to do that now you are really able to do because of the whole situation the infrastructure?
Michael Prior: There are within it, sure. There are some things that probably would not have made sense at least quickly given the network that was there that as I talk about before you know related to where we extent fiber how the nodes are build, sort of the resiliency of some of that infrastructure. So some of those things would have been things we would have been blocking and tackling over time, some of those things we probably, won’t have done at all, it just would have not made sense, we are doing now. So, net-net I do think the network we end up with at the end will be better and more resilient than the one we had before the storm.
Hamed Khorsand: Alright and because you're spending more than the insurance coverage, how does this impact your planning as far as what you got it made for investment into other businesses?
Michael Prior: Hamed, let me take you back a second. When we said we don't think the insurance coverage will cover all our losses, some of the losses a lot of those losses are lost revenue. So we haven't given a number yet on what we think we will spend on the network exactly. So, I just want to clarify that and how did it change, I mean I don't think it really, I don't think it has changed I mean it's a little early we will definitely have lessons learned on a few things as the dust clears but I don't think it changes the fundamental value proposition we saw in that market and in similar markets.
Justin Benincasa: But more specific to your question on to it, it doesn't what we're doing in other markets in Bermuda is not necessarily impacted by what we need to do in the Virgin island.
Hamed Khorsand: Got it okay and then last question, you seeing any opportunity here in the U.S. or are you pretty much looking at outside the U.S. for opportunity now given of how saturated market is?
Justin Benincasa: We still see some things from time to time in the U.S. to pick our interest but it's lower than we used to see for sure.
Hamed Khorsand: Okay. Are you going to be putting the spectrum that used to you are participating the auctions with?
Justin Benincasa: We certainly ourselves some of it, a decent size chunk of it was actually in the Virgin islands and we think it can be helpful moving forward but we but we certainly hope so.
Hamed Khorsand: Okay, alright, I appreciate. Thank you.
Justin Benincasa: Thank you.
Operator: Thank you. [Operator Instructions] we have a follow up question from the line of Allen Klee from Sidoti. Your line is open.
Allen Klee: Yes, Hi. Can you remind us this prior to the hurricanes the split in the U.S. Virgin Islands between wireless and wireline revenue? Thank you.
Michael Prior: Yes we haven't given the figure but it’s a very high percentage, substantially all pre-storm wireline and certainly from a profitability standpoint, I would say virtually all. Now we are planning on changing that with the launch that I referred to and we think that will change but that would be pre-storm.
Allen Klee: Thank you.
Operator: Thank you. We have a follow up question from the line Ric Prentiss from Raymond James, your line is open.
Ric Prentiss: Hey guys, couple of other quickly one. On the stock buyback that you did, when did you do it within the quarter and what should we think about the pacing of that now that you gave the change on the capital structure in capital allocation?
Michael Prior: We did most of it after the announced decision on the dividend, it is just a few weeks since September really if you look at that that doesn't mean we're going to be at that pace throughout the year by any means and we're going to be as we said in the really is opportunistic. But it's just we don't have a plan to say there's X dollars we are going to put to work every year, no matter what we're going to look at the next basically we're putting stock buybacks more prominently on the table as we consider capital allocation between external investments and internal investments in stock purchases.
Ric Prentiss: All right. Is there an authorized amount in those as there's no set for an annual?
Michael Prior: It was 50 million, so you know roughly 10 into that.
Ric Prentiss: And as we think about the hurricane item, the 36.6 million to go back to that item that really was for network right off by the strategic directly, you had the 4.4 million service credits in September and as we think about the impact for 4Q and 1Q, it's more of magnitude on the revenue side not trying to use the 36.6, is some kind of extrapolation numbers that the way we should kind of think of it?
Michael Prior: Yes that was thing. So, most of that number on the 36 million you know 95% of it was right off of the damaged plant. So if we're done writing off damaged plant we want to have that but we still have the revenue impact in order to it. The revenue is not that, just to be clear.
Ric Prentiss: Exactly. So 36.6 was predominantly asset write off which is really a noncash item anyway that you have to replace with CapEx maybe in the future but the more direct cash item in the quarter was the 4.4 service revenue credit that you did include that impact in EBITDA. 
Michael Prior: Correct. That's right.
Ric Prentiss: Okay. On the stock buyback, one of the kind of new ones to it, your liquidity is not huge anyway so that's probably also a balancing factor as you look at stock buybacks is trying to keep a balance there to have enough liquidity in to the marketplace as well. So should we think of it really as it's a program that's opportunistic on price because really the overarching message there?
Michael Prior: Yes, idea is then and Ric you are right, I mean for many years that the liquidity has been a issue but we just got a point where we say look if we think, there's just a great value opportunity then, I guess liquidity be dammed, and people always it's not going to have a fundamental impact on that right.
Ric Prentiss: Right and then on the Australia one, no details obviously but they operate in Australia right, I mean a lot of Australia infrastructure companies are involved all over the world including [indiscernible] coming here to the U.S., this is an opportunity but might it will work the middle of there in Australia?
Michael Prior: Yes, it's 100% focus in Australia at this time.
Ric Prentiss: Okay, those are my follow-ups. Thank you, guys.
Michael Prior: Thank you. 
Operator: Thank you I'm sure no additional questions in the queue at this time, I'd like to turn the conference back over to management for any closing remarks.
Michael Prior: No closing remarks. Thank you everybody and we'll see you toward the end of February with the yearend. Take care.